Operator: Ladies and gentlemen, thank you for standing by and welcome to the CuriosityStream Fourth Quarter and Full Year 2021 Earnings Call. All lines have been placed on mute to prevent any background noise. After the speakers’ remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. Denise Garcia of Investor Relations, you may begin your conference. 
Denise Garcia: Thanks, Josh. Welcome to CuriosityStream's discussion of its fourth quarter and full year 2021 financial results. Leading the discussion today are Clint Stinchcomb, CuriosityStream's Chief Executive Officer; and Jason Eustace, CuriosityStream's Chief Financial Officer. Following management's prepared remarks, we will be happy to take your questions. But first, I'll review the safe harbor statement.  During this call, we may make statements related to our business that are forward-looking statements under the federal securities laws. These statements are not guarantees of future performance, but rather are subject to a variety of risks, uncertainties and assumptions. Our actual results could differ materially from expectations reflected in any forward-looking statements. Please be aware that any forward-looking statements reflect management's current views only and the company undertakes no obligation to revise or update these statements nor to make additional forward-looking statements in the future. For a discussion of the material risks and other important factors that could affect our actual results please refer to our SEC filings available on the SEC website and on our Investor Relations website as well as the risks and other important factors discussed in today's press release. Additional information will also be set forth in our Annual Report on Form 10-K for the fiscal year ended December 31, 2021 when filed. In addition, reference will be made to non-GAAP financial measures. A reconciliation of these non-GAAP measures to comparable GAAP measures can be found on our website at investors.curiositystream.com. Now I'll turn the call over to Clint. 
Clint Stinchcomb: Thank you, Denise, and I'd like to thank everyone for joining our fourth quarter call and full 2021 earnings call. I'm delighted to have with us today our COO and General Counsel, Tia Cudahy; our CFO, Jason Eustace; and our Chief Product Officer and EVP of Content Strategy, Devin Emery. After my comments, I'll turn the call over to Jason to review the financials. At the close of Jason's remarks, we will open up the call for questions. First, I'm pleased to report another strong quarter with year-over-year revenue growth of 140% and approximately 23 million global subscribers. International revenues grew at their highest rate on record as our investments paid off with wider audience reach. Revenues also grew rapidly across every layer of our revenue stack from streaming to licensing to sponsorship. In our core DTC streaming business, we continue to grow our subscriber base while maintaining an industry-leading low churn rate. I'm also thrilled to announce that we delivered $71.3 million of revenue for the full year up 80% year-over-year and ahead of our $71 million target. To put our full 2021 performance in perspective, our year-over-year revenue increase of $32 million exceeded our combined revenues for the first five years of our company's existence, an extraordinary team effort. I'm often asked by other industry participants and observers, how we've been able to grow our business so successfully, I'd point to three primary factors. First and foremost, we've assembled a leading factual content library in the industry. Compelling titles across the science, history, technology, nature, society and lifestyle categories. No other streaming service offers the breadth and depth of factual content available on CuriosityStream, including our wide array of kid-friendly titles. Second, we've grown as a result of innovative leadership and execution. For example, we were the first streaming service of consequence to eliminate free trials. And our recently introduced smart bundle has gained significant traction as we leverage bundle economics in an audience-first approach. Third, we've built a unique multifaceted revenue stack with streaming at its core which has served us well over the past three years, including in 2021. And 2021 underscores what makes us unique. Curiosity is the entertainment brand for people who want to know more. Our flagship subscription video-on-demand service available in more than 175 countries is the premier factual streaming destination worldwide. We continue to bring additional value to all our subscribers through award-winning content and we're thrilled to be introducing more originals in 2022 than in any previous year. Let me dive a bit deeper into the quarter. Revenue growth in the fourth quarter was broad-based with each of our major revenue lines growing rapidly year-over-year. We had another banner quarter in our licensing business, which is a testament to the global appeal of Curiosity Studios productions and the factional entertainment category more broadly. As a result, international revenues grew at a record pace during the quarter. In our direct-to-consumer streaming business, net subscriber additions accelerated year-over-year with strong gross additions complemented by continued low single-digit churn. Fourth quarter ARPU benefited from the continued uptake of our Smart Bundle, which offers six streaming services for the incredibly low price of $69.99 per year. Subscriber retention remains a great story for us, and we continue to lead the streaming industry on this important metric. And in an effort to build on the best quarter we've had in sponsorship sales, we announced last week the launch of our first fast channel Curiosity Now, which will help enhance our advertising and brand partnership monetization and will also serve to promote to our DTC SVOD tiers. While legacy linear TV channels and other streaming services chase the next big hit to retain their subscribers, we focus on delivering the unique content proposition and engaging user experience that makes our subscribers never want to leave. With all the noise in the market and the media about the streaming wars, we continue to believe our unique, factual streaming service is complementary to, not competitive with general entertainment streaming services. To be clear, we are playing on a different field. During this year's planning process, we spent a great deal of time reviewing the current state of the streaming industry. While this further review increased our confidence in the uniqueness of our value proposition, it also underlines how significantly our pricing has diverged from the rest of the industry. As such we believe we are nearing the right time to better align the value we bring to our subscribers, with the price of our subscription plans, including enhanced promotion of our six service-premium tier, which enables us to offer even more quality content on their platforms. Simply put, even if our most popular annual pricing plan were to increase to $30 per year, it would still represent tremendous value. While we have yet to finalize the exact magnitude or timing of any subscription pricing changes, we expect them to result in a substantial increase to pro forma revenue, EBITDA and cash flow overtime. Turning to content, we continue to grow the number of titles under ownership and license on our platform. As a factual streaming service, we were able to commission and acquire the visually stunning, globally appealing and emotionally compelling series our subscribers love without the multibillion dollar content spending of general entertainment streaming services. We're able to do this while delivering high-quality productions as evidenced by the 2022 slate of originals we announced last month. Our 2022 original slate is the largest in our history and includes new, brand-defining titles, showcasing compelling stories about everything from biomimicry, asteroids, true crime, and exotic wildlife rescue to great escapes in history, accidental inventions, tycoons that shape the world and much more. Our big year of originals kicked off in January, when we showcased an electric new talent, in natural history filmmaking the biologist and adventurer Patrick Aryee. In the six-part series Evolve, Aryee takes viewers on a high-octane global adventure to reveal the emerging world in biomimicry, and how the genius of evolution could hold the key to some of our biggest problems. We also premiered our eight-part landmark original series Titans: The Rise of Wall Street, throwing deep dive into the power, the opulence and the rivalries of American Finance that fueled the growth of entire industries, and certainly shaped the course of global events. Other groundbreaking premiers included the feature docs Red Elvis: The Cold War Cowboy that probes the forgotten story of American pop icon Dean Reed, who defected from the U.S. and rose to superstardom in the Soviet Bloc before his mysterious death in East Berlin. And the six-part series Inside the Mind of a Con Artist, an unprecedented production that literally attempts to psychoanalyze six of the most successful con artists of all time, leaving you wondering, who you can really trust. We're also excited to be bringing back several fan favorites for second seasons this year, including Doug to the Rescue, which features drone pilot Doug Thron, as he explores new ways to use next-gen drone technology, not only for animal rescues after natural disasters, but also for conservation as he travels to Africa on his tracking mission. Engineering the Future, narrated by award-winning actor, David Oyelowo, which explores the cutting-edge technologies that could revolutionize life as we know it. And Rescued Chimpanzees of the Congo with Jane Goodall, which takes viewers behind the scenes of a groundbreaking effort to attempt the most ambitious chimpanzee releases in history. And returning for its fourth season, the acclaimed Curiosity original docu-series 4th and Forever, which returns to the heartland of high-school football, and the iconic birthplace of Friday Night Lights. Most recently, we began premiering Secrets Of The Universe, a brand-new, eight-part series which serves as the ultimate guide to the universe, as told by the individuals behind the biggest missions in space exploration, including the James Webb Telescope and NASA’s Artemis Megarocket. Following Curiosity’s Emmy-nominated hit, Secrets of The Solar System, this landmark original series tells powerful tales of discovery, illustrated with stunning space imagery and unseen archives, from the race to image a black hole for the first time, to searching for life on Mars. And the original series Tycoons unpacks the stories of the world’s richest entrepreneurs, names like Bezos, Gates, and, yes, Kardashian, who, in some ways, yield just as much power as any elected leader. Shifting gears, I would like to provide an update on the exciting agreement we announced last year with Nebula, the world’s largest creator-owned streaming and technology platform, whose creators collectively reach more than 130 million YouTube subscribers. Since we announced the agreement, which included a significant minority equity investment in the company, the disruptive nature of the creator economy has been on center stage, tech giants like Facebook and TikTok compete to be the platform of choice for this highly prized segment. Nebula continues to add high-profile content creators and subscribers at a rapid clip and recently broke into the top 50 global streaming services by number of subscribers, currently over 450 thousand paying subscribers, reinforcing its position as the go-to platform for creators in the edutainment space. Due to our shared values and the complementary nature of our streaming services, we were uniquely capable of making what we believe to have been an incredibly well-timed investment in Nebula last year. Further, we have built our relationship with Nebula into a marketing and retention engine powered by parasocial creator relationships that is unique in the streaming industry. We couldn’t be more excited to build on our partnership with Nebula in the years ahead, and to offer our shareholders the opportunity to capitalize on the growth of the creator economy. In summary, we delivered a strong quarter and exceeded our ambitious full year revenue target for the second year in a row. The content slate we are premiering this year, the biggest and the best in our history, advances our mission to satisfy the curiosity of those who want to know more. And we plan to evolve our pricing to better reflect the value we bring to our loyal subscribers. Over the past 18 months, we have more than doubled the size of our content library through acquisitions, original content creation and tuck-in M&A. We believe our content war chest today with well over 10,000 title choices that includes over 5000 premium video selections, represents a robust critical-mass for our streaming service. With this heavy lifting in library content expenditures largely behind us, we now look forward to increasing our focus on the achievement of positive cash flow in the future. We plan to provide updates on this objective as our visibility into revenues for the second half of 2022 and beyond becomes clearer. I want to personally thank each and every member of our incredibly talented team for keeping their shoulder to the wheel, for their dedication, their creativity, and for the focus they bring to work each and every day. I’d now like to turn the presentation over to our CFO, Jason Eustace, for some financial highlights and 2022 guidance.
Jason Eustace: Thanks, Clint. I’m also excited to announce a strong close to the year with 100 -- over 140% year-over-year revenue growth, during the fourth quarter. Full year revenue of $71.3 million exceeded the $71 million target we established before entering the public markets, which puts us in elite and rare company. Each of our major business lines grew rapidly during the fourth quarter, with content licensing revenue increasing more than five-fold year-over-year to $10 million. We expect content licensing revenue to moderate during the first quarter from this fourth quarter record level, which I will describe in more detail during the guidance portion of my remarks. Now, let’s review our fourth quarter financials. CuriosityStream’s fourth quarter revenues grew 140% year-over-year to $27.3 million, up from $11.4 million in the fourth quarter of 2020. Growth in direct revenues, which include DTC, Partner Direct, and Corporate and Associations, was driven by strong DTC subscriber growth, modestly higher DTC ARPU, and Corporate and Associations growth related to our Redbox partnership. Bundled Distribution revenue growth was driven largely by our Spiegel partnership. Content licensing revenue growth was primarily driven by higher presales licensing revenue and finally sponsorship and advertising revenue grew rapidly year-over-year, due to increased advertising with an affiliate on our program -- on our platform, excuse me. Advertising and marketing expenses were $19.1 million compared with $13.3 million in the fourth quarter of 2020. As we discussed last quarter, we reallocated approximately $3 million of advertising and marketing expenses from the third quarter to the fourth quarter of 2021. We continue to invest in advertising and marketing during the fourth quarter to drive direct-to-consumer subscriber growth. Cost of revenue was $17.3 million or 63% of revenue compared to 41% of revenue in the fourth quarter of 2020. While lower on a year-over-year basis gross margin exceeded our expectations, due to favorable revenue mix. Total operating expenses were $27.8 million compared with $22.2 million in the fourth quarter of 2020. Fourth quarter EBITDA loss was $17.8 million compared to an EBITDA loss of $15.5 million last year, due to lower gross margins as well as higher advertising and marketing investments with G&A expenses roughly flat on a year-over-year basis due to disciplined expense management. I will now provide first half 2022 guidance. To be clear, the following estimates do not include any potential pricing adjustments. As Clint noted, we wanted to remain as solid on guidance in the future as we were for 2020 and for 2021. And to do so we will only give guidance looking forward for periods when we have good visibility into our expected revenue and expense levels as these performance expectations are adapted to new business initiatives and strategies and the overall market for streaming services. For the first half, we expect revenue will range between $36 million and $40 million up 50% year-over-year at the midpoint. We expect our EBITDA loss will range between a loss of $36 million and a loss of $34 million. As a reminder, the fourth quarter has historically been our strongest revenue quarter of the year. We expect first quarter 2022 revenue, to decline relative to the fourth quarter of 2021 with approximately $6 million to $7 million of the sequential decline due to lower presale licensing revenue. This decline is expected to be partially offset by continued growth in our direct-to-consumer business. We expect revenue to increase modestly between the first and the second quarters of 2022. Gross margin is expected to remain below historic levels during the first quarter, due in part to significantly higher content cost amortization. We expect first quarter operating expenses to decline roughly $2 million relative to the fourth quarter due to lower marketing expenses. And now I'll turn it back over to Clint, to open the line for questions. 
Clint Stinchcomb: Please open the line.
Operator: [Operator Instructions] Your first question comes from Peter Henderson with Bank of America. Your line is open.
Peter Henderson: Hi, guys. Thank you for taking my question. So I mean, I guess just curious on the pricing plan and plans to increase later this year. Can you just sort of discuss the reasons for not implementing that now, and sort of what steps you need to take before you do implement that price increase? I'm just trying to get sort of a better sense of the timing on that. 
Clint Stinchcomb: So there's a lot to consider. I mean obviously, we think we have a lot of pricing power in light of our low churn rates. At the same time, we want to make sure that we appropriately A/B test. We want to make sure that we take into consideration other objectives and initiatives that we have around that time. So I don't have a lot to say about it Peter today, because as you can imagine, it's something that we're working really hard on. And for competitive reasons and other reasons, we want to keep that strategy and approach close to the vest, but we did want to give some indication that we feel like we're nearing a time where we need to better align the value with the price.
Peter Henderson: Great. Thank you.
Operator: Your next question comes from the line of Tom Forte with D.A. Davidson. Your line is open.
Tom Forte: Great. Thanks for taking my question. So I have two longer-term questions and one shorter-term one. I'll go one question at a time. So the first longer-term question is, how if at all is the vision of CuriosityStream different today than it was one or two years ago?
Clint Stinchcomb: Sure. Well, I would say that our vision and priorities today Tom are to continue to grow subscribers and grow revenue. We want to continue to build our core streaming service. DTC grows consistently every month. We are focused on engagement increasing engagement through continued UI and UX improvements among other initiatives. We still believe that we can grow bundled subscribers as the world hopefully opens up. One thing is obviously is a little bit different is that we are now kind of nearing a time to potentially reprice our service. And we have enhanced sponsorship growth. It's admittedly off a small base, but we'll be relatively meaningful this year and we just launched the fast channel to complement our efforts here. So if you go back two years I think our objectives and priorities are similar. At the same time with the market being where it is, we are taking a -- we're focused on profitability. And as I mentioned in the call, we've built this massive library. I mean, I think one thing that's changed, we didn't think that we would build it to this scope and scale as early as we have. So in light of that, we feel really good about our hand. We feel like we have a robust critical mass. We're going to bring hundreds and hundreds of new titles to the service this year. But with this heavy lifting and library content expenditures largely behind us, we're now increasing our focus on the achievement of positive cash flow.
Tom Forte: All right. Excellent. So second longer-term question. So, how is the U.S. and how is the international SVOD landscape different today than it was one or two years ago?
Clint Stinchcomb: Yes. I would say, as it relates to the U.S., the consumption of SVOD content is still kind of in the early innings. But the window for any new full category, SVOD services with the exception of the Univision Televisa VIX Plus is probably close for the foreseeable future. So in the U.S. it's mature in the sense that the media companies of scale now offer streaming services, two years ago that wasn't true. But it's still relatively early in regard to consumer consumption and the opportunity to grow market share. Now I think this dynamic will likely create consolidation among some of the largest players. And within that the absorption of the independents with at least a few million subscribers which in turn will result in something in the neighborhood of eight to 10 large video streaming services that offer the key genres of content. I mean we've seen that with HBO Max and Warner, movie sports, general entertainment factual with lots of pricing and packaging schemes. I also think that we'll start to see the emergence of some sticky subscription bundles other than Amazon, where video is but one component of a broader consumer offering. Internationally, obviously, it's not quite as mature yet. It's been difficult for the biggest U.S. players to move aggressively internationally because of fractured rights issues. But I think, as you look out into the future, certainly Netflix, Prime, Warner Brothers, Discovery, Disney, Paramount, Apple, that they'll be large players and then there'll be a handful of specialized services focused on categories underneath them and then there'll just be hundreds and hundreds of ultra subscale services.
Tom Forte: All right. So Clint and Jason, you're going to have to take my apologies in advance for my sports reference. So my shorter-term question and I have to think of closest to the pin was the way I was thinking about it. So, on your -- or from a visibility standpoint, what's inspiring you to give a six-month outlook rather than a 12-month? And do you feel any different -- so it's my impression historically that you had a large percentage of subs, that subscribe on an annual basis and that historically is what gave you longer-term visibility. So maybe if you can include that in your comments I'd appreciate it.
Clint Stinchcomb: Yes. I'll take it first and then I'll hand it over to Jason. So, as Jason mentioned, first half growth, we're up 50% year-over-year with what Jason guided to. But our guidance philosophy is to do what we say we're going to do and hit our targets like we did in 2020 and 2021. We want to remain solid on guidance in the future as we were for 2020 and 2021. And so, to do so, we're only giving guidance for periods where we have very clear visibility. As we've shared in the past predicting the pacing of third-party agreements can be challenging to do with great precision. That said, the range of growth in H2 2022 as compared to H1, hinge on a number of factors including timing of third-party content licensing agreements, timing of third-party bundled agreements, timing and magnitude of potential price increase. We're in several multimillion-dollar third-party conversations and negotiations that can drive considerable upside. So there's a wide range of outcomes we just want to guide as thoughtfully as possible, Tom. Nothing -- there's nothing we're working on with third-party partners that we haven't done in the past. It's really simply execution. We have unique premium factual content that can help a lot of different partners. We just want to make sure we get full and proper value for it, whether that's through licensing, bulk distribution or a brand partnership. That -- I said a lot, Jason.
Jason Eustace: I'm happy with that.
Operator: Your next question comes from the line of Darren Aftahi with ROTH Capital Partners. Your line is open.
Darren Aftahi: Hey, guys. Thanks for taking my questions. Just two if I may. First, can you speak to what your content spend is going to be in 2022? And then, it looks like the sub number went up by about three million plus or minus. I'm just kind of curious the mix of direct versus other channels? Thanks.
Clint Stinchcomb: Yeah. So as far as the content spend is concerned and what I would go back to is, we've really put our foot on the gas on content spending over the last 12 to 18 months. And we even -- we even pulled forward some of our planned content spending for 2022 into 2021. And so we are -- we do feel really good about the library that we have today. Again, over 10,000 title choices, well over 5,000 premium video selections, we think it's a critical mass for our streaming service. And so with a lot of this heavy lifting behind us and with the optionality that we have around our content spend, I think that we're going to take an opportunity to certainly increase our focus on the achievement of positive cash flow.
Jason Eustace: And on your subs question, again, continued growth on the DTC. I mean quarter-over-quarter we continue to see that part of our business continuing to over deliver. But a majority of the subs that were added in fourth quarter were from the bundled distribution side and largely the international.
Darren Aftahi: Great. If I could squeeze one more in. I know you're not talking about what price increases might be, but if you just assume that there was a dollar price increase on an annual plan, I'm curious to know how much of that would flow through to the bottom line hypothetically?
Jason Eustace: I would say almost a majority of that would flow through the bottom line, Darren. There's very little. I mean you pick up a little bit more -- you give up a little bit on your cost of revenue, but majority of that would flow through, which is part of the driver to kind of increase that profitability of that segment. And as you know that's the strongest ARPU within our revenue, so it only makes it more a better piece for our revenue stack.
Darren Aftahi: That’s helpful. Thank you.
Jason Eustace: Yeah.
Operator: Your next question comes from the line of Dan Kurnos with Benchmark Company. Your line is open.
Dan Kurnos: Great. Thanks. Clint and a little bit for Jason here. Just first on the bundle itself, the Smart bundle. Can you just talk about either the economics, as it relates to someone taking that versus someone taking just to traditional DTC? And in terms of you guys growing that you've obviously added a lot to that partnership, et cetera. Does that ultimately obviously already at $59.99 I think it is already pretty high up the value chain or food chain in terms of a price point, but could it grow from there to take on almost more of a library kind of feature of its own?
Clint Stinchcomb: Great question, Dan. And since I have beside me, Devin Emery, our Chief Product Officer and Head of Content Strategy who really architected this six-service bundle, I'm going to turn it over to him to talk about -- to better answer your question.
Devin Emery: The way that it works is that the smart bundle is available through the premium tier of service on Curiosity. So if you're signing up for a smart bundle, you're signing up for a premium plan of CuriosityStream. So as you're saying that cost $69.99 a year and then you're getting access to all of the partner services. We have a tiered relationship. So we are paying those partners based on usage. But regardless of the amount that we are making on a premium tier subscribers even after those fees is significantly higher than the standard plan. 
Dan Kurnos : Got it. Awesome. That's helpful. And can you guys talk because we – obviously, there's been plenty of the news about further reopening et cetera and what it means for kind of time spent on VOD services. Is there anything you guys can talk to, whether it's with regards to that bundled plan or just with the service itself just kind of the base service around KPIs around engagement as you mentioned, kind of time spent video hours, just anything that would help us kind of understand besides the low churn some of the stickiness in terms of programming which you're offering? 
Clint Stinchcomb: Well, what I would say broadly Dan is consumption is increasing. I mean -- and that's due in large part to the fact that more people know about CuriosityStream and we have been populating the service with more and more content and great content. I mean the good thing is, we're not here hit reliant. And so people subscribe and stay and typically don't want to leave real early because of the content and because of the experience. Now we think there's, a number of improvements that we can make around the platform that will enhance engagement even more. But as it relates to specific metrics, we're not there right now in terms of providing those. 
Dan Kurnos: Fair enough. And did your first half guidance -- kind of housekeeping, does your first half guidance assume any in-person stuff for One Day U, or are we not there yet either? 
Clint Stinchcomb: Yes, it doesn't. It doesn't. I would say that One Day U, which features now and about 600 lectures and talks from America's greatest professors, it's a terrific service. As Devin says, everyone remembers that one professor and we have them all. And so there are a lot of good things happening there on the virtual side but as it relates to in-person events that's not in the near-term horizon.
Dan Kurnos: Got it. Thanks. Appreciate the color.
Clint Stinchcomb: Thank you.
Operator: Your next question comes from Laura Martin with Needham & Company. Your line is open.
Laura Martin: Hi, there. A couple. So could you remind us how the FAST channel helps you guys strategically. And since Pluto has been around since 2014, why now? Why is it now we're launching FAST channels for the first time? 
Clint Stinchcomb: Yes. I mean, it's a great question, Laura. I would say that we've been focused on building our direct service. I mean, that remains our core focus and we will continue to do that. We increased our number of brand partnerships last year and had certain partners ask us what we were doing in the FAST pace. And look it's not -- with the content that we have, it's not a difficult business to get into. And to be real clear, as you know there's, hundreds of FAST channels today and some are heavily consumed and some are not. But it was not a hard lift for us. And we saw it -- and we see it going forward, it's a good opportunity to extend those monetization opportunities for our brand partners and also to promote to our or direct service. We want to -- we think we can reach new viewers there. We're going to give people a taste of CuriosityStream not enough to satiate them, but a taste with the idea of getting them to subscribe to our full service. 
Laura Martin: And just to staying on FAST, historically FAST the A is advertising driven. Are you going to do that all pro and you guys historically have been 100% subscription. Are you guys going to hire ad salesmen or are you going to do it programmatically through Magnite or somebody? How are you going to generate the ad revenue? 
Clint Stinchcomb: Yes, it's a great question. So we have somebody on staff right now. And we have been -- we've not talked a lot about it, but we have been building a presence in front of the Paywall. I mean, Devin who I referenced earlier that's what he did. He was the architect of that for Cheddar, as an example. So it is not at the priority level of our direct service but it is something that we are building and we believe that gradually over time it will deliver meaningful revenue for us in concert with everything else that we're doing at FAST. 
Laura Martin: Okay. Great. In the past four weeks have you guys seen any impact on your EV business for the Russia-Ukraine hostility? 
Clint Stinchcomb: No. 
Laura Martin: Okay. And then finally just following up on the question about why first half guidance. Your answer to the question was because you wanted to make sure you have visibility and you could deliver what you promised. You're a week before Q1 end. So it would have seemed safer to me if that was your logic to just give us Q1 guidance which only has a week left in a subscription business. So I'm a little -- I guess I just would like you to expand on again why did you give us first half guidance? It can't be because that's higher visibility than the first quarter alone which only has a week to go. 
Jason Eustace: Laura, it's Jason. So the philosophy is it's still consistent with that because we do have good visibility into the first half. Yes that we were just going to get the first quarter. But at that point we're like at a week out. We have pretty good visibility and that's why the range on the revenue is still $36 million to $40 million. And we feel confident that we're going to hit that number and the same on the bottom. So I think it's really the theme is that we have the best confidence that we're going to hit those numbers and we want to kind of stay true to that. And if we go outside of that then we kind of fall away from delivering the results that we have in the last couple of years. 
Laura Martin: Okay. Great. Thanks so much, guys. Thank you.
Jason Eustace: Thank you.
Operator: Your next question comes from Jim Goss with Barrington Research. Your line is open 
Jim Goss: Okay. Thanks. You talked about sort of a lot of heavy lifting done in content creation. I'm just wondering how much new content do you feel you need to attract and retain viewers versus spending your efforts on customer acquisition? And how does that work out in terms of -- what's your content in terms of annual series for example versus charter series or whatever else in that mix that would be more sustainable spend? 
Clint Stinchcomb: Yes. I think – yes, just come back to the point Jim that we feel like we have this library that we didn't think we would have at this point in time. And so anybody new coming to the service today is going to see thousands of titles that they've probably never seen before. With the content that we have that's not hit the air I mean just hundreds and hundreds of titles that we can premier this year and even after this year. I mean we're planning this year to -- we'll offer five to six new titles every week and then some weeks even more than that. So we feel good about what we have. As far as the composition we want to build sustainable series because that's -- the economics are better there and it also creates an opportunity for people to think about CuriosityStream and look forward to coming back for the next season. At the same time, we have a lot of feature docs that was an area that I think Devin identified when he first got here that we were underrepresented on. So I think we've got a good mix. We're continually refining the mix. We had a healthy amount of programming dedicated to Russia, including the Red Elvis feature doc that I referenced in my comments. That's been performing very well lately. So we've got our finger on the pulse, and we have the ability to create a lot of content in-house or quickly out of house. But we really like what we have, and we'll be very measured in our content spending going forward. 
Jim Goss : Okay. And sort of on a related basis given the intellectual nature of a lot of your content does it tend to get second views from a lot of your users, or is it once it's done probably not going to go back.
Clint Stinchcomb: I think that's a great point. Factual content has a long, long shelf life. Not only does that have a long shelf life, I mean, history of Rome doesn't change. It travels well around the world. And we're also not hit reliant, so I think it's kind of the breadth and the depth and the evergreen value of it really gives us the opportunity to use it, reposition it in ways that others might not be able to.
Jason Eustace : And the other thing I'd add there Jim is that when you look at our amortization of those assets that actually trigger some of the viewership of that. And so the reason that it's kind of more a little bit of an accelerated, but essentially a flat line. That useful life is very long. So we do see that reflected in the financials, which is why we have a slightly accelerated work on the front end. But for the most part it's a very consistent useful life.
Jim Goss : Okay. One last one along the lines of the FAST relationship, as you go through the effort of trying to create more customer relationships, could you talk about your own dealings with connected TV manufacturers VMP, MVPDs and other distributor options? And how can you talk about the cost of these tie-ups.
Clint Stinchcomb: I'm sorry, the cost of the -- what was the last part?
Jim Goss : Yes, the cost of those sort of relationships you're securing the rest of viewers?
Clint Stinchcomb: Yes. Sure. Well, with the connected TV providers, we have agreements with virtually all of them. And those agreements that we have with them are similar to what we have with an Apple TV or Google Play something like that. So those are excellent economics for us there. In regard to the advertising sponsorship opportunities that they provide, it's part of our kind of distributed network. But we like those relationships. We'll continue to grow those. And the nice thing about the connected TV relationships is obviously somebody is consuming the Curiosity app in all of its glory, which is a much more elegant and better experience than you might get on with another distributor who is running everything through their system. As far as the MVPDs are concerned, we have a few deals with MVPDs. To the extent that we can get a fair value exchange, we like working with them, because they are typically a little bit more innovative than some of the traditional providers.
Operator: There are no further questions. This does conclude today's conference call. Thank you for joining. You may now disconnect.
Clint Stinchcomb: Thank you.